Operator: Good morning, ladies and gentlemen, and welcome to the Galiano Gold Full Year 2025 Results Release Conference Call. [Operator Instructions]. This call is being recorded on Friday, February 13, 2026. I would now like to turn the conference over to Matt Badylak, President and CEO of Galiano Gold. Please go ahead.
Matt Badylak: Thank you, operator, and good morning, everyone. We appreciate you taking time to join us on the call today to review Galiano Gold's Fourth Quarter 2025 results that we released yesterday after market close. We will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary notes and risk disclosures in our most recent MD&A as well as this slide of the webcast presentation. Yesterday's release details our fourth quarter 2025 financial operating results. They should be read in conjunction with our fourth quarter financial statements and MD&A available on our website and filed on SEDAR+ and EDGAR. Please also bear in mind that all dollar amounts mentioned on the conference call today are in U.S. dollars unless otherwise noted. With me on the call today, I have Michael Cardinaels, our Chief Operating Officer; Matt Freeman, our Chief Financial Officer; and Chris Pettman, our Vice President of Exploration. This presentation, I'll initially provide a brief overview of the quarter. Mike will discuss operations and touch on our updated mineral reserve and resource statement, Matt will discuss the financials, and then Chris will review the recent exploration success his team has had at the AGM. I'll then provide some closing remarks and open the call for Q&A. Here on Slide 5, we can see the team continue to build momentum during the fourth quarter towards an improved operational outlook in 2026. Let me walk you through some highlights on this slide. Safety remains our top priority, and I'm proud to report that, again, no lost time injuries were reported for Q4, maintaining a strong safety record and demonstrating our unwavering commitment to our workforce. Turning to production. We produced 37,500 ounces of gold in Q4, up 15% from the 32,000 ounces produced in Q3. As you can see from the chart, this marks the fourth consecutive quarter of improved gold production at the AGM with Q4 production 80% higher than Q1 and full year production totaling 121,000 ounces, in line with our revised production guidance. Importantly, mill feed growth improved quarter-over-quarter and throughput in December exceeded the targeted 5.8 million tonne per annum run rate. From a financial perspective, cost control remains robust on site with all-in sustaining cash costs reducing quarter-on-quarter to $2,033 per ounce and ending the year in line with the guidance range. Revenue came in at a record $160 million, up 40% quarter-over-quarter from $114 million. This was driven by higher production and improved gold prices. Our balance sheet remains solid with cash balance remaining stable despite increasing our rate of spend on stripping at Nkran and making a $25 million deferred payment Gold Fields. During the quarter, we also established a $75 million revolving credit facility providing us with further financial flexibility to continue to invest in our operations, particularly as we advise stripping at Nkran and invest heavily in exploration activities in 2026. The inclusion of a Maiden Underground mineral resource reshapes the future potential resource growth at the asset. We have planned an aggressive exploration program for 2026, targeting the expansion of these underground resources and reserve growth at Esaase through conversion drilling of inferred ounces. The momentum we have built throughout the year positions us strongly to meet our production guidance target of between 140,000 to 160,000 ounces this year, which is a 25% increase from 2025 levels. Mick will provide more color on this later. And with that, I'll hand it back -- I'll hand it over to Mick to discuss operations in more detail.
Michael Cardinaels: Thank you, Matt, and good morning, everyone. Turning with safety. The previous quarter's improvement continued without any lost time or recordable injuries in Q4. We finished the year with a lost time injury frequency rate of 0.24 and a total recordable injury frequency rate from 0.48, both per million hours worked. In terms of mining and production, Esaase mining restarted in the early November and is currently ramping back up production in Q1 2026. Late wet season rains had a slight impact on mining movement but the necessary switch to concentrate on production from Abore in 2025, provided positive movements in terms of mined ore tonnes and the average grade of ore mine increased 9% compared with the previous quarter. Nkran pre-stripping continued ahead of buying with 23% more material moves compared with Q3 including some small quantities of oxide ore, which are being identified during the mining process and opportunistically blended with Abore fresh ore to supplement the plant feed. An additional excavated fleet is expected to be operational before the end of Q1 2026 to continue the expansion of Cut 3. We plan to mine in excess of 30 million tonnes this year, which is 3x the movement of 2025 for an approximate spend of between $100 million and $120 million of development capital. This maintains a Nkran Cut 3 is scheduled to deliver steady state ore production from early 2021. On Slide 8, we can see the processing performance. Ongoing modifications in the circuit to fully optimize the performance after the commissioning of the secondary crusher continued in Q4 and yielded further positive results. Milling rates increased approximately 7% compared to Q3 with December production achieving an annualized rate at the target 5.8 million tonnes per annum. Mill feed grade also improved approximately 9% compared to Q3, with an average of 1 gram per tonne for the quarter. The increased grade and feed plant also had a positive impact on plant recovery with Q4 achieving an average of just about 91%. The increased grade, throughput and recovery all culminated in an increase in gold production for Q4, up 15% versus Q3's production of 32,500 ounces to 37,500 ounces. We finished the year producing just over 121,000 ounces, which was in line with our revised forecast. Overall, you can see a production increase for each of the last 4 quarters, showing a strong positive trend of performance across all of our metrics. On Slide 9, we are providing information on the guidance. Looking forward to 2026, we once again expect the majority of all supplier to come from the Abore pit, where we have made modifications to our reserve pit design to take advantage of higher gold prices. This will result in a slightly slower ramp up of gold production in 2026, but enables us to further increase the recovery of our resource. Ratings will continue to increase with depth in Abore as we've seen in the last quarter of 2025. Production will be somewhat weighted towards the latter half of the year and continue into 2027 as we recover the higher-grade material at depth. We expect a range of between 60,000 to 70,000 ounces in the first half of the year and 80,000 to 90,000 ounces in the second half of the year. We are providing production guidance for the full year in the range of 140,000 to 160,000 ounces at an all-in sustained cost of between $2,000 and $2,300 per ounce. I will now hand over to Matt Freeman to discuss Q4 financial results.
Matthew Freeman: Thanks, Michael. Good morning, everyone. As Michael has outlined in the fourth quarter was the strongest operation in 2025 and assisted by the very strong price of gold, we generated record revenues of $160 million and generated cash flows from operations of $56 million. Our headline earnings numbers continue to be impacted by the losses on hedges, but we now have only 60,000 ounces left to settle, which represents a lower percentage production in '26, therefore, allows us to more fully participate in the price of gold going forward. Adjusting the unrealized losses on hedges to be settled in 2026, we recognized adjusted net income of $0.15 per share. From a treasury perspective, the balance sheet remains very healthy with over $100 million in cash even after paying the first deferred payment to Gold Fields. Additionally, we're pleased to close a $75 million credit facility, which remains undrawn but will provide us with additional liquidity should the need arise. This Slide 11 illustrates that our operating costs remain consistent period-on-period and has generally been well controlled by the site. In particular, you can see processing costs have consistently fallen in a unit basis through 2025 as the throughput has improved. CapEx remains focused on critical projects such as the tailings dam raise. AISC, as expected, fell significantly compared to the previous preceding quarters in 2025. This is primarily due to the higher production levels that demonstrate to leverage our margins up to high production. We've guided AISC for 2026 to between $2,000 and $2,300 per ounce that period, much of the elevation compared with Q4 2025 due to the growing royalty burden with the consistently high gold prices being forecast in '26. Ultimately, this is good for the business, but it does increase AISC in a manner which is beyond our control. The chart demonstrate the increasing royalty burden we've seen through 2025 as a result of a significant increase in gold prices, but it also demonstrates the unit cost we can control and continue to fall as production improves. As many of you know, a new royalty regime has been proposed by the Ghanian government. So we'll assess that impact on AISC if it finally becomes enacted. As noted in my opening remarks, we have been able to maintain a strong cash position at around $100 million. We're very happy with this given -- we've now settled the first deferred payment to Gold Fields, continue to ramp up stripping activity at Nkran having invested approximately $35 million in 2025 and have made our first annual income tax payments in Ghana. As we look forward, we do expect 2026 to be another year of investment in the mine with further acceleration of stripping at Nkran and the final deferred payment to Gold Fields. From this year, it's a real inflection point because the 2027, we'll be past the fixed payment of Gold Fields and fully exposed to the gold price. This means even assuming the new royalty regime comes into play as proposed where there's a significant reversion in gold prices, the company will be well positioned to generate significant cash flows for shareholders. And with that, I'll turn the call back over to Mick to run through our updated mineral reserve and resource statements.
Michael Cardinaels: Slide 14. The key highlights for this year is the declaration of our Maiden Underground resource. Resources for Nkran and Abore have been limited to the current reserve pit shells to allow us to target higher-value underground ounces in our underground maiden resource definition. As we look to the future for both pits transitioning to underground operations. Chris will outline the potential for reserve expansion that we see at Esaase over the next 12 months. In the table shown is a summary of our MRMR as at December 31, 2025. For detailed tables, please refer to the appendices and the recent news releases. Here on Slide 15. This section through the Nkran deposit shows the current reserve shell and the newly defined underground resource stopes. As you can see, we have a strong correlation between drilling density and stope generation, which gives us a great deal of confidence that this resource will likely expand with additional drilling. On Slide 16, we show a comparable long-section view for the Abore deposit. And again, it shows a similar story that stopes are able to be generated where we have drilling data. And because like Nkran, these mineralized systems are open in multiple directions. There is a likelihood that additional drilling will also yield additional underground resources here at Abore. And with that, I will turn the call over to Chris to outline the recent exploration successes at the mine and future exploration finance.
Chris Pettman: Thanks, Michael. Q4 was another busy quarter in exploration as we ended the year making a concerted effort to maximize the amount of infill and step-out drilling at Abore completed by the end of December in order for results to be included in the Maiden Underground resource outlined by Michael. I'm very pleased with the team's ability to safely and cost effectively deliver an additional 10,950 meters of Abore in partnership with our drilling contractors in Q4. As we've discussed in prior quarters, drilling results in Abore were excellent in 2025, leading to the expansion of the program to include a total of over 33,000 meters by the end of the year. Q4 drilling continues to deliver excellent results, including expanding the high-grade zones at Abore Main, Abore North, further proven continuity of high-grade mineralization of Abore South and expanding the footprint of mineralization up to 200 meters below previous drilling as outlined in our January 22 press release. Some of the highlights of intercepts of this drilling are shown here on Slide 17. Slide 18 shows a gram-meter long section of Abore with Q4 drilling locations and intercepts along with areas where high-grade mineralization has been expanded and continuity improved at Abore South, Main and North pits. This image also shows the location of 4 step-out holes drilled between 100 and 200 meters below existing drilling. These holes were designed to test for continuations of the Abore granite and further high-grade mineralization. All 4 successfully intercepted mineralized Abore granite showing once again that the Abore system has significant growth potential. Particularly encouraging is Hole 448, which intercepted 87 meters of granite containing 3 zones of mineralization at grades of 2.5, 3 and 3.4 grams a tonne over 27, 11 and 15 meters, respectively, in an area that is 200 meters below Esaase drilling and open in all directions. That Hole 448 is shown in cross-section here on Slide 19, along with Hole 444 which intercepted a wide high-grade zone consisting of 30 meters at 4.4 grams a tonne and 18 meters of 2 grams a tonne immediately below the previous open-pit resource. This is a really good example of the room we have to grow the mineral resource in 2026, while we have confidence in Abore of the driver of future value at the AGM. Exploration work in 2026 will focus on continuing to build on momentum generated by the success of the 2025 program. With an initial budget of $17 million, work will focus on the 3 primary growth objectives as we look to support a potentially transformational life of mine update in 2027. We see significant opportunities to grow the underground resources and reserves at Abore where we're planning for a minimum of 30,000 meters of drilling in 2026. At Esaase, we will be focused on growing the open-pit reserves and higher gold prices with up to 35,000 meters of conversion drilling. We will also continue to advance our portfolio of greenfield targets where our focus will remain on early-stage work and drill testing of targets in the Nsoroma area located approximately 6 kilometers southwest of Nkran. First pass drilling in 2025 confirmed the extension of the Nkran shear through this area, along with favorable host rocks, quartz veining and alteration patterns, and we remain enthusiastic with the potential discovery of new open pit resource in this area. At Abore, we will continue to aggressively test for continuations of mineralization through step-out and infill drilling designed to increase the underground mineral resource while also conducting targeted conversion drilling to increase the indicated resource available for inclusion in a potential Maiden Underground reserves in 2027. Slide 21 here shows a long section through Abore with the locations of Q4 drilling and the new underground resource showing all grades greater than 2 grams a tonne. High priority targets for '26 are shown by these yellow stars. As part of our short to medium-term exploration strategy, we will also be working in conjunction with the mining team to advance the necessary studies and workflows for potential development of an underground portal and exploration drilling at it, that will be used to conduct future underground delineation drilling and deeper exploration target testing. Due to the density of existing drilling below the current mineral reserve for Esaase, we are uniquely positioned to realize immediate reserve growth at higher gold prices without additional drilling, allowing us to add value to the AGM quickly in the current gold price environment. In order to maximize that value, exploration will be returning to Esaase in 2026 with a campaign of conversion drilling designed to convert additional inferred resources to indicated category at a gold price of $2,500 ahead of the 2027 of MRMR and LOM. Here on Slide 22, we're showing the cross-section through Esaase with an example of a target area for conversion drilling in 2026 and is indicative of our targets across the entire deposit where drill density limits the extent of the indicated resource. Our 2026 program is well underway with rigs active at both Abore and Esaase, and we anticipate 2026 will be even busier than 2025 for our exploration team. But we are well resourced and well positioned to deliver significant value to the AGM to resource reserve growth this year. Back to you, Matt.
Matthew Freeman: Thank you, Chris. In closing, I'd like to reiterate that -- I would like to reiterate that the positive momentum built through 2025 places us in good steps to realize meaningful production growth in 2026 and to execute our medium- and long-term organic growth plans. Our steadily growing production profile, execution of the final deferred payment to Gold Fields and expiry of hedges late this year, resulting in a near-term inflection point in cash flow generation, which should subsequently drive shareholder value. Beyond this, we have developed a robust exploration strategy and clearly understand where further expansion of mineral reserves and resources will come from. I'm excited about the potential for mine life extension beyond the 8 years as we look to include underground mining and target expansion of open pit reserves. Our strong cash balance access to the revolving credit facility allows us to aggressively invest in exploration while comfortably funding waste stripping activities at Nkran. Also, a reminder that Galiano has highly leveraged the gold price and remains Ghana's largest single-asset gold producer, with production increasing by approximately 25% in 2026, line of sight to reserve expansion and high gold and record gold prices, the potential for value creation for our shareholders remains high. With that, I'd like to turn it back to the operator, and open up for questions.
Operator: [Operator Instructions]. Your first question comes from Vitaly Kononov with Freedom Brokers.
Vitaly Kononov: Yes. I have several questions for the production heavily weighted towards the second half of 2026, whether the key execution risk we should monitor and how confident are you achieving the ramp up profile?
Matt Badylak: Well, I think the key risks that we see obviously is we're aware of the fact that throughput has an important role to play here. And we're really pleased in terms of the way that the crusher has ramped up over the second half of 2025 and are comfortable that crushing circuit will help deliver nameplate production in the range of 5.8 million tonnes per annum. The other thing, I think that we -- Mick touched on here is the fact that we are expecting grades to increase steadily as we continue to mine through lower elevations of Abore. And those 2 factors will be driving that production higher in 2026, and as we said, slightly weighted to the tail end of the year as well.
Vitaly Kononov: Thank you. Well, given the downward revision to the guidance that was provided earlier in 2025, it was lower down. How does that impact your 5-year outlook from now on?
Michael Cardinaels: Well, we expect to, as I said, have a slightly lower production profile than 2026, but we expect to ramp up further in 2027, more in line with previous guidance in terms of production levels.
Vitaly Kononov: Just the last one. Following the Maiden Underground resources at Abore and Nkran, what should we expect initial -- when should we expect the initial economic studies published for those mines?
Michael Cardinaels: We'll be working on, as Chris mentioned, additional drilling to supplement the underground resource that was just released, and we will be working through the studies this year with the aim of having something available in 2027.
Vitaly Kononov: So that will be early -- well, released with the annual results of the next year, right?
Michael Cardinaels: That's correct. That's the plan this point in time, depending on the...
Operator: [Operator Instructions]. There are no further questions at this time. I will now turn the call over to management for closing remarks.
Matt Badylak: Thank you, operator, and thank you for everyone who dialed in and took questions or asked questions. Thank you for your time today. I wish you a happy Friday and a good weekend. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating in ask that you please disconnect your lines.